Operator: Welcome to the Teradata Q1 2010 earnings call. My name is Sandra, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Mr. Gregg Swearingen. Mr. Swearingen, you may begin.
Gregg Swearingen: Good morning and thanks for joining us for our 2010 first quarter earnings conference call. Mike Koehler, Teradata's CEO, will lead our discussion highlighting Teradata's first quarter results, after which Steve Schepmannn, Teradata's chief financial officer, will provide more details relating to our financial performance as well as our 2010 guidance. Darryl McDonald, Teradata's executive VP for business development and marketing, is also in the room to answer questions. Our discussion today includes forecasts and other information that are considered forward-looking statements. While these statements reflect our current outlook, they are subject to a number of risks and uncertainties that could cause actual results to vary materially. These risk factors are described in Teradata's 10-K and other filings with the SEC. On today's call we will also be discussing certain non-GAAP financial information such as earnings per share, free cash flow, and revenue comparisons in constant currency. A reconciliation of our non-GAAP results to our reported GAAP results and other information concerning these measures is included in our earnings release and on the investor page of Teradata's website at teradata.com. A replay of this conference call will also be available later today on our website. Teradata assumes no obligation to update or revise the information included in this conference call whether as a result of new information or future results. I will now turn the call over to Mike.
Michael Koehler: Thanks, Gregg, and good morning everyone. Teradata started the year strong with record first quarter revenue of $429 million, operating income of $86 million, and EPS of $0.39. Operating margin improved to 20% in Q1 from 16.3% in Q1 of 2009. Revenue was up 17% as reported and up 12% in constant currency over Q1 2009, which was not an easy prior year comparable. Revenues grew 5% in constant currency in Q1 of 2009. Product revenue grew 27%, which was our highest growth quarter during the past 9 years. And all three regions grew revenues, and each reported strong double-digit product revenue growth. Overall, it was a great start to 2010. The Americas had an outstanding Q1 generating $252 million in revenue, which was up 23% from the first quarter of 2009. New customer wins we can name included Kohl's Department stores and Movistar, a mobile phone provider in Peru. Expansions and upgrades in the quarter including Macy's, CVS Caremark, Cabela's, Overstock.com, and Electronic Arts in the U.S and Rogers Communications and Hudson's Bay Company in Canada. With the return to a more stable economic climate in the U.S., we saw strong activity across most industry segments. In particular, in manufacturing, financial services, retail, and health care. Turning to EMEA, revenue of $106 million in the first quarter was up 9% from the first quarter of 2009. Adjusting for currency, revenue in EMEA was up 3% over a prior year comparable that had strong growth in constant currency of 12%. New customer wins we can name included Cajasol, a financial services institution that merged with another bank in Spain and is integrating data from the two banks into a Teradata EDW, and EOS Group, a financial services company in Germany. EDW expansions and upgrades included [arp lease]; BBVA; Dahmler; Volvo Cars; TNT Express; Telefonica Spain, which is converging their wire line and wireless businesses into an integrated EDW; [inaudible] Telecom, one of the largest wireless providers in France, which is adding web and social network data for analytics as well as customer segmentation and regulatory compliance; Pannon, a leading mobile operator in Hungary, expanded their Teradata relationship manager CRM application to provide multistep, multichannel, and multi-offer campaigns for better customer life cycle marketing; and Shop Direct, the U.K.'s largest internet retailer, which is deploying Teradata integrated web intelligence to load near real time web browsing data into its EDW. It can now understand customer intent as well as purchase history to better drive marketing campaigns and grow revenues. Asia-Pacific/Japan reported $71 million of revenue in the first quarter, up 9% from the first quarter of 2009 and down 1% in constant currency. APJ had a record first quarter for new account wins, including NTT Solmare which is the number one content provider for mobile phones in Japan and will use Teradata in an active environment examining web logs to analyze customer navigation and deliver more effective web-based marketing; one of Australia's largest retail companies, which selected Teradata and SAS over strong competition from an incumbent based upon the value they saw from the integrated and advanced analytics environment that we provide. Star Track Express, an Australian logistics services company, is implementing a Teradata active data warehouse as the foundation for their active information management strategy. Their vision includes integrating data from multiple operational systems with geospatial capabilities in order to optimize loading and routing for their fleets. And a top-three mobile operator in Indonesia, which is implementing an active enterprise data warehouse. Upgrades and expansions from the APJ region included NTT Communications, Japan's largest internet service provider, which is expanding its Teradata system for customer care to improve customer service and satisfaction. KDDI Corporation, the second largest communications company in Japan, is adding to its Teradata EDW to provide better leverage of information across all their business units. And we saw expansions from numerous other leading communications companies in the region, including China, India, Australia, New Zealand, Indonesia, and Malaysia. Additional data and applications are being added to better understand and improve the customer experience and geospatial data for marketing and network analytics. We're pretty excited about the execution of our platform family strategy. As we have discussed, our objective was to (1) add more customers, (2) grow our existing customers by gaining wallet share in their analytical environments, and (3) address competitive offerings in the data mark space. Our appliances helped us to increase new account wins in the first quarter. And our extreme data appliance has opened new opportunities for our existing customers that need our [inaudible] analytical solutions at a lower cost. Overall, our competitive win rate has never been stronger. With the release of our solid-state drive extreme performance appliance, we now have platforms to address any analytical need at competitive price points. Best of all, they all leverage the industry leading database, Teradata. In Q1, our R&D team delivered several new models across the Teradata platform family. We announced general availability of the 5600, Teradata's active enterprise data warehouse, which included a 65% increase in performance; the 1600, Teradata's extreme data appliance, which delivered a four times improvement in performance and a reduced data center footprint of 50%; and the 2580, Teradata's data warehouse appliance, which delivers up to two times the performance. We are also very pleased to be recognized by those in the industry. In Q1, Teradata was named as one of Information Week's top ten most strategic IT vendors. During the survey, they heard many of our customers attribute much of their success to the competitive intelligence they get through their partnership with Teradata; and partnership is the word these companies used most often. Teradata was also named to the Intelligent Enterprises list of the dozen companies that will matter the most in 2010. And we were recently named to the top 100 most ethical companies in the world by the Ethisphere Institute. These awards follow Teradata being recognized by Gartner for leadership in data warehousing and data warehousing servers. Going forward, more companies will be looking to drive value by adding more subject areas and applications to their data warehouses, more users, more queries, and enabling real-time decision making, while taking cost out via the consolidation of their data marks. This requires date warehouse technology that has the ability to manage complex mixed workloads, multiple applications, thousands of users, and concurrent queries in an active, real-time environment that can execute both strategic and operational decisions. This is what Teradata provides that our competitors don't. In closing, we are very pleased with our strong start in Q1 and are increasing our revenue guidance to 8% to 10% revenue growth in 2010. We now expect to generate EPS of $1.60 to $1.70 based on the strength of Q1 and the higher revenue guidance. I will now turn the call over to Steve Schepmannn, who will discuss our Q1 results and 2010 guidance in more detail. Steve.
Stephen Schepmannn: Thanks, Mike, and good morning. As anticipated, we got off to a great start in 2010. Revenue of $429 million was up 17% from the first quarter of 2009 and, as Mike said, up 12% in constant currency, which was against a 5% constant currency growth performance in Q1 2009. So we are comparing against a fairly solid quarter last year. Product revenue of $200 million was up 27% from the first quarter of 2009 as the demand for and the value of infrastructure enhancing enterprise data warehousing fueled the strong start to the year for Teradata. Services revenue of $229 million was up 9% or 4% in constant currency, with consulting services increasing 10% and maintenance services improving by 8% as reported. Gross margin in the first quarter of 2010 was 55% compared to 54.5% in the first quarter of 2009. Higher services gross margin and a greater percentage of product revenue more than offset the lower product gross margins in the quarter. Product gross margin of 64% decreased from 65.6% in Q1 2009. At the end of the day, the decrease was primarily attributable to deal mix, for the most part in the EMEA region. However, with that said, we experienced a significant increase in product revenue in the period. Other factors come into play, including more efficient leveraging of the product fixed cost structure, which has a favorable impact on product margin, and the fact that subscriptions make up the smaller percentage of our total revenue. You will recall subscriptions are included in our product revenue, and this represents an unfavorable impact on our product margin. Services margin of 47.2% was a full point higher than a year ago due to more efficient utilization of our consulting resources in the quarter compared to a lower quarter in 2009. We expect that Q2 will be a tougher comparable with the strong prior year. As we have said in the past, as we add targeted capacity to meet the anticipated demand for consulting expertise, we expect services gross margins will soften from the higher levels achieved in 2009, especially as we proceed into the next few quarters. Moving to a geographical view of gross margin. In the Americas region, gross margin was 57.9%, an improvement from 57.1% in the first quarter of 2009, largely due to higher consulting services margins. Gross margin in the EMEA region was 53.8%, down from the 54.6% reported in the first quarter of 2009, due to lower product margins. Gross margin in APJ of 46.5% was roughly the same as last year, 46.2% in Q1 2009. Turning to our expense structure, SG&A expense in Q1 2010 increased $8 million from the same period last year. This was largely driven by increased selling expense in the areas of head count, training, incentive compensation, and currency. Research and development, R&D, in the quarter was $32 million versus $30 million in the first quarter of 2009. For the full year 2010, we are increasing our R&D investments and estimate that R&D may experience a percentage increase in the low teens year-over-year. As a result of all these items discussed, Teradata's operating margin in this seasonally lower first quarter was 20% versus 16.3% reported in Q1 2009. For the full year 2010, we continue to expect operating margins to be in the 19% to 20% range. Below the operating income line, our effective tax rate in Q1 2010 was 22%, down from the 25% tax rate used in the first quarter of 2009. Our effective tax rate was lower in Q1 2010 due to a previously-disclosed $5 million tax benefit associated with the recognition of certain foreign net operating loss carryforwards resulting from an audit settlement in the first quarter. Due to more of our estimateable pre-tax earnings coming from the U.S. than previously expected, we now expect our full year effective tax rate for 2010 to be approximately 25.5% to 26.5%. As a result, EPS in Q1 in 2010 was $0.39 versus $0.26 in Q1 2009. Noncash stock-based compensation expense is included in our operating income and EPS results. During the quarter, stock-based compensation expense was approximately $5 million or $0.02 of earnings per share. For the full year, we expect approximately the same amount of stock-based compensation expense in 2010 as we had in 2009, roughly $23 million, or approximately $0.08 to $0.09 of earnings per share for the full year. Turning to cash flow, cash from operating activities was $138 million in Q1 2010 versus the $165 million generated in the first quarter of 2009. After $21 million of capital expenditures versus $20 million of capital expenditures in the first quarter of 2009, we generated $117 million of free cash flow, down from the $145 million of free cash flow in Q1 2009, or a decrease of $28 million. During the last few years, we, along with many other companies, were able to decrease our working capital as we reduced the amounts of our accounts receivable which benefited our free cash flow. As you are aware, lowering receivables is generally a one-time cash flow benefit. From an absolute dollar perspective, our receivables were $64 million lower as of 12/31/09 compared to 12/31/08 due to improved efficiency throughout 2009. As a result, this had the effect of creating a free cash flow head wind for 2010 when you compare it to the opportunity we had entering 2009. From an accounts receivable efficiency perspective, DSO improved to 69 days as of March 31, 2010, compared to 75 days as of March 31, 2009. Now that we see growth again, our free cash flow generation should return to more normalized levels in line with the plus or minus $25 million of net income metric we have talked about since the spinoff. Teradata defines free cash flow as cash flow from operating activities less capital expenditure for property and equipment and less additions to capitalized software. Turning to the balance sheet, as of March 31, 2010, we had $712 million of cash, a $51 million increase from the end of 2009, despite our share repurchase activity in 2010. During the first quarter, we repurchased approximately 2.4 million shares for approximately $70 million. As I have said before, we expect the rate of our buyback will continue to fluctuate each quarter taking into account, among other things, our working capital needs, our stock price, alternative uses of cash, and economic and market conditions. Approximately 1/3 of our cash is available in the U.S. With respect to our deferred revenue, deferred revenue as of March 31, 2010, increased $70 million from 12/31/09 compared to a $66 million increase as of 3/31/09 versus 12/31/08 Deferred maintenance and deferred subscriptions had solid increases between periods and, together, they represent over 70% of the deferred revenue balance as of March 31, 2010. To provide further transparency around currency movement and the potential impact on revenue, we provide on our website additional detail regarding how currencies moved in Q1 2010 and how this movement is expected to impact our year-over-year revenue comparisons for the remainder of 2010 assuming the currency exchange rates as of the end of April. In Q1, our year-over-year revenue comparison included a 5-percentage point benefit from the currency translation. Based on the spot rates as of the end of April, for Q2 we expect approximately 1 percentage point of benefit from the currency. For the year, we now expect less than 1 percentage point of benefit from currency; and we expect to see 1 to 2 points of currency headwind in the second half of the year. Mike provided some revenue and EPS guidance earlier in the call, but I wanted to give you a little more color on the specific items. We are increasing our revenue guidance for the year to 8% to 10%, which includes less than 1 percentage point of estimated benefit from currency. Our previous revenue guidance of 7% to 9% included a 1% to 2% of estimated benefit from currency. Therefore, in effect, we are increasing our revenue guidance range by approximately 2%. Although we continue to see a healthy pipeline for the first half of 2010, it is difficult to accurately forecast what the second half product revenue will look like. As is typically in the case of our business model, we do not have a high degree of predictability two to three quarters out. We do not see anything that is likely to negatively impact us in the second half of the year, but we simply do not have a high degree of product revenue visibility at this time. We do have visibility into our services revenue which represents slightly greater than 50% of our total revenue, and this currently shows growth in the mid-single digits range in constant currency. Included in the total services revenue is our maintenance revenue, which is a true annuity revenue stream. As a result, more predictable over the remainder of the year. This maintenance revenue accounts for approximately one-half of our services revenue or approximately 25% of our total revenue. As we discussed with you last quarter, we expect some of our cost and expense lines to grow faster than normal in 2010 due to reductions in 2009 and our increased investment in sales coverage and R&D. As a result, we expect our EPS improvement for the year to be less than our long-term target of growing EPS at twice our revenue growth rate. Specifically, as we have discussed before, we anticipate the following: Tough year-over-year comps in our services gross margin as we add to our consulting teams; second, higher selling expenses due to more sales territories and higher commission as revenue increases; third, normal increases in G&A such as base compensation increases and a partial return of some expenses that were eliminated or reduced in 2009, including training and education. Finally, due to increased investments, we expect low teens increase in R&D over the 2009 level of $117 million. That said, for the full year, we are increasing our EPS guidance from the $1.54 to $1.64 range to the $1.60 to the $1.70 range. Keep in mind this includes the increase of our effective tax rate resulting from our expectation that more of our pre-tax earnings mix will come from the U.S. which reduced our EPS by approximately $0.03 per share if you assume the midpoints of our effective tax rate guidance ranges. This impact has been incorporated into our new guidance for 2010. In closing, there is a strong correlation between the effective use of business analytics and profitability. Effective use of business analytics begins with the right architecture and leveraging of the enterprises information infrastructure. I believe you will see more companies focused on centralizing, integrating their information infrastructure as they look to improve their responsiveness and the effectiveness of their BI infrastructure. Teradata solutions, products, and services are well positioned from strategic to active enterprise intelligence to drive and manage this change. We are excited about our start in 2010. With that, operator, we are ready to take questions.
Operator:  Thank you. We will now begin the question-and-answer session. (Operator Instructions) Your first question comes from Wamsi Mohan – BofA Merrill Lynch.
Wamsi Mohan – BofA Merrill Lynch: Thank you. So, guys, you had a really solid quarter. You increased your top line growth at constant currency 5 to 8 and to now 8 to 10%. I am trying to put that in context with the overachievement that you did in the first quarter. Pretty strong deferred revenue. You have easy comparisons in the second quarter. It seems to me you are being very conservative in your assumption that the back half of the year closer to perhaps mid-single digit top line growth. You mentioned lack of visibility on the product side. Are you being incrementally more conservative now in the back half? Is there anything on a competitive front that you're seeing which is different or is it purely lack of visibility?
Michael Koehler: Thank you. There's a couple of dimensions when you look at the full year revenue guidance. One of them is the services business. If you look at the growth rate in constant currency, it's mid-single digits. It's hard to move the dial on things like maintenance revenue, which is a little bit less than 25% of our revenues. However, as we continue to grow product revenues, that will benefit the maintenance longer term. When you look at the year, you can't move the dial that much on the maintenance revenue. On the consulting services piece, it's a little harder to move the dial at all. When you take a look at the 8% to 10% revenue guidance, we're actually pretty bullish on our product revenue growth for the rest of the year to back into the 8% to 10% range.
Wamsi Mohan – BofA Merrill Lynch: Okay. Then to follow up on that, from a gross margin perspective, the services gross margins were quite a bit higher than what we expected; and you had indicated an intent to reinvest in talent on the professional services side. You're pointing to that again as a headwind in the next few quarters. Is this just a timing issue? Have you not been able to hire the folks you wanted to hire yet or how should we be thinking about that?
Michael Koehler: It's really the ramping. We've begun to hire. It will be ramped smooth throughout the year.
Wamsi Mohan – BofA Merrill Lynch: Okay. Thank you.
Operator: Thank you. Your next question comes from Matt Summerville – Keybanc Capital Markets.
Matt Summerville – Keybanc Capital Markets: Morning. Couple questions. I think over the last couple of weeks there's been some folks that were concerned regarding the rate of new customer wins possibly slowing in the quarter, price competitiveness creeping up. Mike or Steve, I was wondering if you could give a little more color around those items there?
Michael Koehler: The new account wins were up in the first quarter over prior year. APJ had a record first quarter in terms of new account wins. In terms of competition or win rates, we've reached our highest level in win rates in 2008 and 2009. They were up at the end of 2009. 2009 was up a little bit over 2008. In the fourth quarter of 2009, they were up. And the first quarter of 2010, our win rates are up. Overall, when you take a look at new account win, competition, win rates, right now things have never been better.
Stephen Schepmann: What I'd also comment on, you brought up product gross margin. I would also comment in the product gross margin. As we have said before in the past, if you look at over a longer period of time and see the ups and downs in the product margin, that's the real indicator of any pricing dynamics we see in the market place. The product gross margin is 64%. We were at a low, 61.2% in Q3 2007, to a high of 67.9%. So that 64% is kind of right in the sweet spot. So that would indicate very consistent dynamics from a competitive front from pricing.
Matt Summerville – Keybanc Capital Markets: Can you also comment on just what you're seeing more trend-wise in terms of the length of the overall sales cycle now versus maybe a year ago? How average deal size has trended? And then, Steve, you made in your prepared remarks, you mentioned what organic ex currency sales growth was on the service side. Can you give us that same number on the product side during the quarter?
Stephen Schepmann: On the sales cycles, I would say in the Americas we're just about back to normal. We're having some delays in the communications industry; but overall, Matt, the sales cycles in the U.S. in particular are overall back to normal. We're seeing some delays, a little bit of lumpiness in APJ, with regards to sales cycles and deferrals. In EMEA, EMEA has been operating relatively stable over the past couple of years and right through the downturn. As we look at it today, EMEA, our challenge there is more around currency and more around some of the prior year comparables we'll be going against when you look at it in constant currency in Q1, Q2, and Q3.
Stephen Schepmann: And, Matt, your question on the constant currency and product. We were 27% as reported and 22% in constant currency growth on the product revenue.
Matt Summerville – Keybanc Capital Markets: Thanks a lot, guys.
Operator: Thank you. Your next question comes from Katie Huberty – Morgan Stanley.
Katie Huberty – Morgan Stanley: Good morning and very nice quarter. Just as a follow-up to Wamsi's initial question, some of the large storage companies talked about revenue upside in March as a result of pent-up demand that wasn't able to close in December, so January and February started out very strong. Is that something that you see this quarter? And do you think that creates sort of a sequential headwind going into June?
Michael Koehler: Close of Q4 and close of Q1, if you net it all out, it behaved pretty normal. There are some puts, there are some takes in some parts of the world. And some customers in the U.S., we had some delays. They went out. In other cases, we had some takes. It was similar in Q4 and Q1. What I would say here is the quarterends and spillovers, if you will, or the bringing in of revenue, it's all netting out about the same for the past, at least the past two quarters.
Katie Huberty – Morgan Stanley: Okay. So you don't see sequential headwind going into June by any means?
Michael Koehler: No.
Katie Huberty – Morgan Stanley: And then, on the deferred revenue line, Steve, you gave some metrics around maintenance and subscriptions. How did the product deferred revenue trend from December to the March quarter?
Stephen Schepmann: The transactional component of that was very consistent. Nothing unusual from the structure of the deals.
Katie Huberty – Morgan Stanley: Okay. Then lastly as a follow-up to the competitive discussion, are you actually seeing Oracle's marketing efforts increase the number of deals that you're getting pulled into? Is there maybe a positive impact from the noise they're creating in the market?
Michael Koehler: We're not seeing much of a difference at all in terms of the number of times we're competing with Oracle, or we don't see an effect of being pulled into deals because of Oracle. There hasn't been much change over the past 3 or 4 quarters.
Darryl McDonald: The only other thing I would add is, as you can imagine with Oracle having the largest installed base, it's the one we're typically running into as we're competing globally. As we look at replacing Oracle data marks and data warehouses with Teradata, typically it's Oracle the version they have today or Oracle X data the day it gets introduced. But I would say it hasn't increased or decreased, it's very similar. As we go head to head with them, depending upon kind of the company's direction, they'll introduce, try to save it with the old product or try to save it with a new product. We're very comfortable competing with both. We have had some great success in head to heads with Oracle X data recently, and we think we'll continue to succeed against them.
Michael Koehler: Oracle's biggest presence is really in OLTP. And on the analytic side, it's more in a data mark kind of environment. So we just haven't seen much of a change.
Katie Huberty – Morgan Stanley: Great. Thank you.
Operator: Your next question comes from Nabil Elsheshai – Pacific Crest Securities.
Nabil Elsheshai – Pacific Crest Securities: I am going to drop my last name. Thanks for taking my question. Just to start, first on partnerships, I was wondering if we could get an update on kind of channels and obviously SAP, [inaudible], and any contribution or progress you are making with SAS as well.
Darryl McDonald: Let me start with SAS. We're making good progress with our in-database initiative. We also announced at SAS global forum in Q1 a couple of new products that we've also packaged up. We announced the availability of SAS marketing automation on Teradata at the event. Now we also announced SAS's warranty application where we actually merged both Teradata and SAS's IP into an advanced warranty application from SAS on Teradata as well. Some real good product announcements as well as some progress on the next release of our in-database initiative. All of those were announced and well received by the customers both of Teradata and SAS global forum. So we're making good progress there, and we've got some additional products planned for the remainder of the year. On the SAP front, we are on track with our port of BW on Teradata. Our first availability is going to be in Q4 of 2010. We're making good progress on the port. We also will be participating in SAPPHIRE here in May in both Orlando and EMEA. We'll be announcing some new products that we've developed together. We've got a couple in the manufacturing area around trade promotions effectiveness and out of stocks that we'll be presenting and demonstrating at both conferences. We will all be demonstrating SAP's business object explorer product on Teradata at both conferences as well. Again, good progress with some integration of applications and then also on the big initiatives that we'll be continuing across our relationship.
Nabil Elsheshai – Pacific Crest Securities: Great. Thank you. Then given that the close rates, especially in the U.S. are starting to get back to normal, what are you seeing, Mike, in terms of the productivity of the new sales reps? I think on Q4, you had said they weren't quite where you had expected. Are you starting to see that get back to where you expected given the close rates?
Michael Koehler: Just a clarification, it's the sales cycles that are getting back to normal. The close rates.
Nabil Elsheshai – Pacific Crest Securities: Thank you for clarifying.
Michael Koehler: As far as the new territories go, 2009, the revenues were a little bit lighter than where we wanted. The first quarter, we have a revenue yield that's decent. And when we look at the full year, our current projections are we're a little bit light of where we want to be – not by a lot, a little bit light. And, of course, we have the opportunity to get to where we want to be. And, when I say a little bit light, this is from our original. We talked about $100 million in revenue from the new territories in 2010. As we look at it right now, we are a little bit light.
Nabil Elsheshai – Pacific Crest Securities: And then lastly on Europe, you had called out tougher growth rates from comps, but even adjusting for that, the growth rate isn't what you're seeing right now in North America. Is there an economic lag that you're seeing and you think that will kind of catch up with North America? Or is there some other dynamic going on there?
Michael Koehler: When you look at EMEA and you look at it in constant currency and kind of the environment they were in, last year's Q1 they were up 12% in constant currency. Q2, in terms of just revenues reported, it was their second largest quarter ever, including Q4's. In Q3, they grew 9% in constant currency. So those are tougher prior year comparables than we have with APJ and in the Americas. Although the currency isn't a huge headwind at this point, there's currency headwind. They're just going against tougher prior year comparables. The fourth quarter will be an opportunity where they'll have a lighter prior year comparable to go against. I think if you look at the performance of our EMEA business in 2008 and 2009 relative to other IT companies in EMEA, I would say it's been a very, very strong performance. It continues to perform well. But they're not going to have the same opportunity that the other regions have in terms of the prior year comparables.
Nabil Elsheshai – Pacific Crest Securities: Thank you for taking my questions.
Operator: Your next question comes from Mark Kelleher – Brigantine Advisors.
Mark Kelleher – Brigantine Advisors: Thanks for taking the questions. I was just wondering if we could follow up on the new sales territories. That's a pretty impressive year-over-year growth. How much of that is being driven by these new sales territories completing their sales cycles and coming on line? And maybe you could give us some indication of what you are looking for for new sales territories this year, and maybe how many total you have right now.
Michael Koehler: In terms of the number of territories, we're on track to add the 90 territories this year. The execution of that is going – add 90 territories, not this year – getting to the 90 territories that we said we were going to put in place over the three-year period that ends in 2010. So the execution of the territories is on track. The other question was in terms of the revenue?
Mark Kelleher – Brigantine Advisors: Of the revenue growth of kind of the surge that you saw in the first quarter. Is that general economic recovery? Is it good products? Or is it new sales teams that are finally delivering?
Michael Koehler: In the first quarter, it was the strength of the Americas in the first quarter. That's what really drove it. Within the Americas, you would have a portion of those territories we put in place. So if you kind of do the math, it wouldn't have a meaningful impact.
Mark Kelleher – Brigantine Advisors:  Okay. How about on the product side? Was there particular products that were driving it? New data mark products all the way up to the high end? What was the story there?
Michael Koehler: The majority of our revenue growth and product revenue is our 5000 series, EDW, if you will. That said, our appliances were up a lot in terms of units and sales in the first quarter. But it doesn't move the dial much when you look at the overall growth for the company because the appliances are doing a kind of 5% to 10% of revenue short-term, long-term type of thing. This was clearly driven by EDW, the product revenue growth in the first quarter. But that said, we had very good uptick in our appliances in the quarter.
Stephen Schepmann: As Mike said, there really wasn't any deviation from our short-term, long-term mix of appliance versus EDW. That stayed pretty consistent. That was pretty consistent between those two products.
Darryl McDonald:  The only other thing I would add is we're seeing a good opportunity to position our appliance in our large accounts that have enterprise data warehouses. So we're seeing them leveraging them for disaster recovery in their environment. So we have a customer, [Kaiser], who has a large EDW with us; and they actually purchased one of our appliances as a disaster recovery. We're also seeing good take with our 1500 on our extreme data appliance for a lot of new analytics and also near-lying opportunities for keeping additional historical data for either compliance, regulatory, or new analytics. Again in our installed base, with our EDW, we're seeing a good fit for surrounding it for these other types of capabilities with the platform family.
Mark Kelleher – Brigantine Advisors: Great. Thanks.
Operator: Your next question comes from – sorry go ahead.
Michael Koehler: I have to add one more thing. It's also been helpful in us increasing new account wins having the appliance family. Basically so companies can start with a smaller footprint platform and then expand out to EDW over time.
Operator: Thank you. Your next question comes from Alex Kurtz – Merriman & Company.
Alex Kurtz – Merriman & Company: Thanks for taking the questions. Just back to the second half visibility concern that you guys keep raising. I think you talked about this last quarter. You just put up a really solid number in Americas. You are talking about sales cycles showing some improvements. Given your long-standing relationship with your customer base, why would second half visibility be not improved from last quarter?
Michael Koehler: It's more around our business model. We have over 50% of our revenue that we have visibility to. By the way, these comments are whether there's a good economy, a bad economy. It has nothing to do with the macro economy. Basically our business model is on the product revenue, customers make a decision and they want to implement it as soon as possible on the product. So we operate with not much of the backlog. So what happens is your ability to predict what's going to happen in the fourth quarter on product revenue is not as good as it is right now in Q2. That's the lack of visibility. Maybe visibility is the wrong term. It's the way our business model behaves. We have trends. We have funnels. We have all that we looked at. But at the end of the day, you don't know the answer until you get there.
Alex Kurtz – Merriman & Company: Aren't a lot of the deals you're working on long-term projects that your customers are planning to implement. Doesn't your sales force have that visibility? Or what you're saying is the product stuff is almost like a turns business? It happens within a quarter.
Michael Koehler: The purchase decision happens in a quarter. We are always engaged with our customers, working on the next upgrade, the next addition, the next application. We have very, very close working relationships with our customers. We work together. But our customers don't do upgrades in any particular month or quarter. Sometimes they won't do it in a year. It depends on what the particular addition they're doing to their EDW. The variability comes in is to when do they get lined up to actually pull the trigger and make the decision. Then the revenue comes quickly. The other thing is, quite frankly, we have very large transactions in our business, very large. In a given quarter, you have a couple of $10 million or $15 million types of opportunities or opportunities even much higher that don't happen. It will change the percent of growth for not just for a quarter, but for an entire year. We've seen some years where, and this is 4-5 years ago when things were good, where you have a set of customers that deferred out of the year; and the impact on our top line revenue growth was huge. So, it's the dynamics of the business model of operating without a backlog and the volatility we have with some large deals with large customers.
Alex Kurtz – Merriman & Company: That makes sense. And, Steve, just a couple quick questions then I will jump off here. Can you just us sort of what you think the puts and takes in product margins over the next couple of quarters? Is it volume related? Is it region related? Sort of what we can expect from that line. And can you just repeat again what you think the effective tax rate will be all-in on a blended basis? Thanks.
Stephen Schepmann: On the product margins, don't see anything out there unusual other than FX that we talked about on the headwind in EMEA. So everything is pretty consistent. It really depends upon what we had in Q1, the mix. When we refer to mix, it's floor sweeps, it's larger transactions that will impact that we've seen in our past. Now that could impact it, Alex. It's impacting EMEA in Q1 here. It really gets down to the mix and the timing of the mix that Mike talked about on these larger deals coming through. With respect to the effective tax rate, updating the guidance to 25.5% to 26.5% on the effective tax rate, that's really driven by the strength of the Americas. We have FX influence or headwind because of the dollar strengthening on the EMEA side. What you've seen now is the strength of the Americas stepping up. It's a double-edged sword. In EMEA, I have a lower effective tax rate on taxable earnings in EMEA. In the U.S., I have a higher tax rate. You see the strength of the Americas coming through from that increase in the effective tax rate. That's why we're coming up to the 25.5% to 26.5%. It's all driven by the pre-tax earnings mix.
Alex Kurtz – Merriman & Company: Thanks guys.
Operator: Thank you. Your next question comes from Derrick Wood – Wedbush Securities.
Derrick Wood – Wedbush Securities: Thanks for taking my questions. So you saw a nice rebound in year-over-year growth and reported revenue. I am curious why you're not seeing the same increase on the year-over-year growth in deferred revenue?
Stephen Schepmann: In deferred revenue, in the two main components of maintenance and subscriptions, we saw solid strong growth in those two components. That's why I identified or highlighted those two. There was solid and strong growth in those two components. The third component of transactional side, again, very consistent with yearend. Nothing unusual in there, and that represents roughly a quarter to 30%. That's really transactional driven. Your transactions will either go through as a deferred revenue item or in the backlog item. Mike said the backlog, I won't say backlog, but the deal mix at the end of Q4 and the end of Q1 were pretty consistent. The transactional activity in the deferred revenue really doesn't tie to the health of the business. The health of the business is tied into maintenance and subscription side and those both had strong improvements.
Derrick Wood – Wedbush Securities: Okay. Thanks for the color. Europe, if you look at it on a sequential basis, it was flat which it's usually down double digits in Q1. Were there some one-time large deals that supported this or are you seeing something more sustainable or a change in seasonality from this region?
Stephen Schepmann: No. There's been really no large changes or no large deals coming through. So everything is pretty consistent in the EMEA region other than what we mentioned on the product margin side. But, again, that was one large mix-related transaction. Nothing unusual.
Derrick Wood – Wedbush Securities: Okay. Then in terms of you give us annual guidance, can you give us a sense or how you see seasonality progressing throughout the year?
Stephen Schepmann: Typically, historically, we've seen our seasonality was Q4 as strongest, Q2 and Q3 can vary between particular years, and Q1 being our seasonally lower. We're not seeing anything that would distort the historical trends. It's lumpy as we've always said. Q3 and Q2 can be lumpy on the timing.
Derrick Wood – Wedbush Securities: With respect to your 19% or 20% operating margin guidance, you just did 20% in Q1. I guess that assumes you are going to see some declines in parts of quarters looking forward. Can we just assume this is due to increased hiring on the sales front as well as increased hiring on services? Is that the two main? Then I guess R&D starting to accelerate in terms of investments there?
Michael Koehler: You hit the three.
Derrick Wood – Wedbush Securities: Lastly, share count for 2010. Can you share what your assumptions are on your EPS?
Stephen Schepmann: What we've generally done is, you saw we did 70 million in Q1. In the prior 2 years, we really did basically half of our free cash flow. Half of our free cash flow is generally a reasonable metric to follow. We said cash flow this year would be back to the guidance that we were giving kind of post spend, net income plus or minus $25 million. So we'll continue to be opportunistic and evaluate as I said in the prepared remarks, evaluate those factors. So there isn't anything that I see right now that would take me away from our historical patterns.
Derrick Wood – Wedbush Securities: Just to be clear, half of your free cash flow, typically will go to buyback in the quarter?
Stephen Schepmann: We've done half of the free cash flow in the last two years.
Derrick Wood – Wedbush Securities: All right. Thank you.
Gregg Swearingen: Operator, we have time for one more caller, please.
Operator: Thank you. Your last question comes from Brad Reback – Oppenheimer & Company.
Brad Reback – Oppenheimer & Company: How are you? Mike, I think you had talked about some of the new sales teams, the yields being lighter than expected in the guidance, sort of carrying that through for the remainder of this year. Could you maybe walk through for a minute or two what's going on there? What you guys have discovered, why they're lighter, and maybe what you are doing to help fix that?
Michael Koehler: We think it's just economic related when you look across the board.
Brad Reback – Oppenheimer & Company: So as the economy picks up over the course of this year, those yields should start to improve?
Michael Koehler: Yes. To get us to what we're talking about which currently looks like it will be a little bit light, not significantly light.
Brad Reback – Oppenheimer & Company: Then, finally, on the question on the guidance. You had talked to it before for the back half of the year. Just to be clear, in a normal year, putting aside last year and maybe the end of 2008, would it be fair to say that you typically at this time in the year don't have very much visibility into the back half?
Michael Koehler: That's correct. On the product revenue.
Brad Reback – Oppenheimer & Company: Great. Thank you very much.
Michael Koehler: With that, I'd like to thank everyone for joining us here this morning. I hope you enjoy the rest of the day. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.